Operator: Good afternoon. Thank you for joining today’s call. With me today are George Colony, Forrester’s Chairman of the Board and CEO; Michael Morhardt, Forrester’s Chief Sales Officer; and Michael Doyle, Forrester’s Chief Financial Officer. George will open the call. Michael Morhardt will follow George to discuss sales and Michael Doyle will then follow Michael Morhardt to discuss our financials. We will then open the call to Q&A. A replay of this call will be available until November 27, 2015 and can be accessed by dialing 1-800-843-7419 or internationally 1-630-652-3042. Please reference the pass code 6274710#. Before we begin, I’d like to remind you this call will contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intend, plans, estimates, or similar expressions are intended to identify these forward-looking statements. These statements are based on the company’s current plans and expectations and involve risks and uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Some of the important factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission. The company undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. I’ll now turn the call over to George Colony.
George Colony: Good afternoon and welcome to the call. I would like to say a few words about the quarter after which Mike Morhardt will brief on sales and Mike Doyle will give a financial review. We will then take questions. We are pleased to report healthy increases in EPS and margin for the quarter. We are being judicious in our expense management ensuring that we are directing investments to those parts of our business that will yield long-term high returns. Products the sales force and technology would be the most prominent examples. While we remain disciplined and plentiful on expense side of the business, the unevenness of bookings and revenue that reported on the last call continued in Q3. The strategy change to the company made the beginning of 2014 is resident in the marketplace, but as with the initiation of any new strategy the selling model is taking time to adapt to the market that we now plan. Our focus on working with large companies to help them win server retain customers, is necessitating shifts in the way the market and sell and we’re still working through these factors so more on this in a few from Mike Morhardt. I discussed specific back in July and which of our products were on pace and which were lagging. 70% of our product portfolio is growing in the aggregate at 10%, but 30% of the portfolio is not growing. In August I made a leadership change in the product organization promoting Cliff Condon to oversee not only research but the product group as well. Cliff is a longtime force right was proven himself operating events, research and our social platforms. Over the last 18 months Cliff is transform the research team and its outputs to match the company’s age of the customer strategy they did the through deliberate concentrated and relentless approach. Cliff is bringing his speed, transparency and creativity over the product side his early focus will be moving the slower no growth products back on track. As I reported in the last call we have three products that are not on pace and therefore to leadership boards, BT RoleView and events. In FLB's Cliff is sharpening the unique value proposition and is preparing to launch a new executive program for CMO's. He is also upgrading leadership for this product line. BT RoleView and this is the research that help CIOs make decisions on customer technology is available in the fourth quarter in a new package. The AOC gives tech management executives access to marketing and strategy research to better equip the CIO in team to understand and collaborate with her business colleagues. Cliff is following several other new packaging approaches for BT research and more on these in future calls. We’ve had a new ahead of Forrester events a proven business executive who is run and grown larger event organizations in the research and publishing space. Cliff’s extensive experience in Events has enabled him to move very quickly in this part of the portfolio. The big picture of our products continues to reveal faster growth on the marketing and strategies side of our business. And Cliff will be doubling down there. As an example we believe that we have the largest customer experience practice in the world. Research, data, consulting events and boards all dedicated to helping companies improve their CX. So we are managing lagging products back into growth, we will be moving from strength to strength with our performing products. Just to finish up I lead a very large group of Forrester analysts who participated in Salesforce.com’s Dreamforce event in San Francisco in September. And our keynote was one of the highest attended at the event and why was this. Because Dreamforce is about winning, serving and retaining customers, the emerging market for what we call business technology. Forrester’s keynote focused on how companies can operationalize their customer knowledge, acquisition and retention. I was with the CMO of one of the largest banks in the U.S. last week and she asked me a very important question, why does the bank's biggest competitor score better in customer experience even though we outspend them. And that’s the question that the new Forrester has being built to answer. As you might imagine we had a long discussion. As a company and as a team we are dedicated to winning this amazing opportunity and establishing Forrester as the company that is challenging, thinking and leaving change in the age of the customer. And now I am going to turn the call over to Mike Morhardt, Forrester’s Head of Sales. Mike?
Michael Morhardt: Thanks, George. In Q3, we saw some excellent signals that the age of the customer message is resonating with our clients. But as George mentioned, we also witnessed some challenges associated with this huge market opportunity. For the quarter, we saw five of seven sales regions achieved year-over-year bookings growth. Our North American new business team had a very solid year-over-year performance and our Asia-Pac and international partner organizations also continue to perform above expectations. We saw unbalanced performance across our larger North American businesses with some regions performing over expectations and others below. Europe continued to make good progress but it’s still performing below expectations in certain geographies. While the age of the customer strategies is opening up new opportunities across our clients and prospect base, we also need to respond to this demand in new ways to engage our clients and prospect. Here are three examples, first as I mentioned in the last call the age of the customer market opportunity is broadening our relationships with clients with cross-sold clients growing and the average deal size up. However, the selling more complex solution oriented deals has led to longer sales cycles and purchasing cycle with a broader set of decision-makers involved. We are working closely with the sales teams to train on these new sales motions and buying processes. We are also working with our internal business units to drive a more seamless selling model with these clients and prospects. Secondly, we have also seen clients gravitate towards the age of the customer message to increase engagement from our buyers and our IT professionals with business technology agendas. However, we are also still seeing migration of those clients with traditional IT agendas to our age of the customer research taking time. As George mentioned in September we launched our new age of the customer seat, which incorporates both business technology and marketing strategy content. The response from our clients has been immediate, which has led to faster IT to BT migrations and overall increased pipelines. Finally, we continued our sales expansion efforts in Q3 ending up 6% year-over-year and quota bearing headcount. Sales attrition remains well below last year's level and better-than expected. The age of the customer market potential is large but we need to build a more sophisticated and targeted market segmentation to focus on our key buyers. We will be refining our sales expansion plans over the next several quarters as we look at new additional selling models to reach key age of the customer clients and prospects. In summary we continue to see solid progress across the sales organization in Q3. Clients are looking to engage with Forrester at levels we have not experienced before. This presents a huge opportunity and a requirement to react to our changing customers demand. With that, I'll turn it over to Mike Doyle for the financial update.
Michael Doyle: Thanks Mike. I’ll now begin my review of Forrester’s financial performance for the third quarter of 2015, including a look at our financial results, the balance sheet at September 30, our third quarter metrics and the outlook for the fourth quarter and full year of 2015. Please note that the income statement numbers I’m reporting are pro forma and exclude the follow items: stock-based compensation expense, amortization of intangibles, reorganization costs and net gains and losses from investments. Also for 2015, we continue to utilize an effective tax rate of 38% for pro forma purposes. For the third quarter of 2015, Forrester’s revenue achieved top-end of guidance and pro forma operating margin and EPS exceeded guidance. Our revenue performance was at the upper end of our expectations despite decline in year-over-year. Strong foreign-exchange headwinds saved about 3.5 points off of our growth and consulting declines year-over-year reflect significant one-time project activity in the third quarter of 2014. George spoke about our focus on improving three products: BT RoleView, FLB and Events. To give you some perspective on a year-to-date basis they make up approximately 28% of our bookings on an FX adjusted basis and they have declined 7% year-over-year. The remainder of our products have grown 10% on an FX neutral basis. We are confident in the plans to improve performance in those products which are declining and it will help enable us to achieve double-digit growth performance in the future. Our pro forma operating margin and earnings per share exceeded our expectations and grew double-digit rates as we continue to stay focused on streamlining our operations while investor grow. Now, let me turn to a more detailed review of our third quarter results. Forrester’s third quarter revenue of $74.8 million decreased by 1% compared to $75.4 million in the third quarter of 2014 and grew 3% on a constant currency basis. Third quarter research services revenue increased 3% to $52.2 million from $50.6 million last year and represented 70% of total revenue for the quarter. On a constant currency basis, research services revenue grew by 7%. Third quarter advisory services and event revenue decreased by 9% to $22.5 million from $24.7 million in the third quarter of 2014 and represented 30% of total revenue for the quarter. On an FX neutral basis, advisory services and events revenue decreased by 6%, reflecting an ongoing effort to fine-tune our consulting and event businesses and significant consulting growth in a comparable period last year. The international revenue mix was 23% for the period ending September 30, 2015 compared to 26% in the same quarter of last year. On a constant currency basis 26% of revenue was generated from outside of the U.S., reflecting continued improvements in results in Europe and Asia Pacific. I would now like to take you through the activity behind our revenue, starting with research. Forrester had 59 playbooks at the end of the third quarter and we added 396 new documents to our role view library. In addition, we hosted 31 webinars for our clients during the third quarter. As of September 30, 2015, the top three research roles were the CIO with 9782 members, application development and delivery professionals with 6232 members and the analyst relations professionals with 4873 members. Forrester leadership boards, our pure offering for senior executives remains a focus area following the reorganization effort that commenced earlier in the year. As of September 30, 2015, Forrester leadership boards had a total of 1536 members, down 11% compared to the same time last year, and up 1% to the prior quarter. Declines to prior year partially reflect our efforts to right size geographically and to align our counsels to the opportunity we see in the marketplace. The balance of the decline is underperformance by some of our counsels which as George mentioned is the primary focus of our new Chief Product Officer Cliff Condon. Our data business and products provide our B2B and B2C clients with actionable insights that complement our research and consulting services in a way that cannot be duplicated. On a year-over-year basis, revenue increased by 11% for the third quarter and 14% on an FX neutral basis, driven in part by continued acceleration of our CX index offering. In our advisory and consulting businesses, total revenue for the third quarter decreased by 11% compared to the prior year or by negative 8% on an FX neutral basis. Segments of our advisory and consulting business continue to grow at healthy rates and we’re working to refine our go-to-market strategy as it relates to the practices that are underperforming. Our event business was active in Asia-Pacific in the third quarter. We held two summits for CIOs and CMO's in Singapore and in Sydney we also held a summit for marketing leaders. We also held our summit for CIOs in Mumbai. Event revenues was down 20% compared to the third quarter of 2014 driven mainly by the client and sponsorship revenue. I’ll now highlight the expense and income portions of the income statement. Operating expenses for the third quarter were $66 million, down 3% from $68 million in the prior year and essentially flat on an FX neutral basis. Cost of services and fulfillment decreased by 3% or by negative 1% on a constant currency basis on lower compensation and benefits cost related to the reorganization in the first quarter of 2015 and also due to lower outsourced fees related to our consulting business. Selling and marketing expenses decreased by 2%, but increased 2% on a constant currency basis compared to the same period last year. The decrease was driven primarily by lower commissions partly offset by higher sales headcount. General and administrative costs decreased by 7% or by negative 4% on an FX neutral basis, due to lower recruiting cost for consultants and a lower professional services related to the implementation of cloud-based software services. Overall headcount was essentially flat compared to the third quarter of 2014 and up 1% compared to the second quarter of 2015. At the end of the third quarter, we had a total staff of 1321, including research and consulting staff of 497 and sales staff of 513. Research and consulting decreased by 4% the prior year and increased by 1% as compared to the prior quarter. Sales headcount increased by 4% versus prior year and decline by 1% compared to the prior quarter. Sales rep headcount increased by 6% compared to the third quarter of 2014 and decreased by 1% compared to the prior quarter. Operating income was $8.7 million or 11.7% of revenue compared with $7.4 million or 9.8% of revenue in the third quarter of 2014. Other income for the quarter was 159,000 compared to 232,000 in the third quarter of 2014. Net income for the third quarter was $5.5 million and earnings per share was $0.30 on diluted weighted average shares outstanding of 18.3 million, compared with net income of $4.7 million and earnings per share of $0.25 on 18.5 million diluted weighted average shares outstanding in the third quarter of 2014. Now, I will review Forrester’s third quarter metrics to provide more perspective on the operating results for the quarter. Agreement value, this represents the total value of all contracts from research and advisory services in place without regard to the amount of revenue that has already been recognized. As of September 30, 2015, agreement value was $233.3 million, up 3% from the third quarter of 2014 and negatively impacted approximately one point due to foreign exchange. As of September 30, 2015, our total for client companies was 2,482, unchanged from June 30, 2015 and up 30 compared to the third quarter of 2014. Client count, unlike our retention and enrichment metrics, is a point in time metric at the end of each quarter. Forrester’s retention rate for client companies was 80% as of September 30, 2015, unchanged from the prior quarter and up four points compared to last year. Our dollar retention rate improved to 91% from 90% in the prior quarter and increased by two points compared to last year. Our enrichment rate was 97% for the period ending June 30, 2015, unchanged compared to the prior quarter and compared to last year. We calculate client and dollar retention rates and enrichment rates on a rolling 12-month basis due to the fluctuations which can occur between quarters with deals that close early or slip into the next quarter. The rolling 12-month methodology captures the appropriate trend information. Now, I’d like to review the balance sheet. Our total cash in marketable securities at September 30 was $104.2 million, which is an essentially flat with the $104.5 million we had at year end 2014. We generated $3.5 million of cash from operations for the quarter as compared to a use of cash of $7.4 million in the third quarter of last year. We received $1 million in cash from options exercised for the quarter as compared to $2.6 million in the third quarter of last year. We also paid a dividend in the third quarter which amounted to $3 million or $0.17 per share. Accounts receivable at September 30, 2015 was $37.4 million compared to $39 million as of September 30, 2014. Our days sales outstanding at September 30, 2015 was 46 days compared to 48 days at September 30, 2014. And accounts receivable over 90 days was 8% at September 30, 2015 compared to 7% at September 30, 2014. Deferred revenue at September 30, 2015 was a $124.2 million, down 4% compared to September 30, 2014, and on a constant currency basis was down 1%. With 1% reduction in deferred revenue reflects revenue growing at a slightly faster rate than bookings on a trailing 12-month constant currency basis. So in closing, we had a solid quarter with revenue, with the upper end of expectations and significantly exceeding our expectations for pro forma operating margin and earning per share. We are seeing strong performance from a majority of our products and client retention remains high which reinforces our view that our age of the customer strategy is resonating with clients. While breakout bookings performances has been held back by some underperforming products, we’re making progress on those products and have implemented some changes during the quarter with more to come. As we continue to invest for growth we remain committed to improving operating margin and earnings per share and our guidance for 2015 reflects that commitment. Now let me take you through the specifics of our guidance for the fourth quarter and full year 2015. As a reminder our guidance excludes the following amortization of intangible assets which we expect to be approximately $200,000 for the fourth quarter and approximately $900,000 for the full year 2015. Stock based compensation expense of $2.3 million to $2.6 million for the fourth quarter and $8.2 million to $8.5 million for the full year 2015. Reorganization cost of zero for the fourth quarter and $4.4 million for the full year 2015; and any investment gains and losses. Forrester is providing fourth quarter 2015 financial guidance as follows: total revenues of approximately $78 million to $82 million, pro forma operating margin of approximately 6% to 8%, pro forma effective tax rate of 38%, pro forma diluted earnings per share of approximately $0.15 to $0.19. Our full year 2015 guidance is as follows: total revenues of approximately $311 million to $315 million, pro forma operating margin of approximately 9.5% to 10.5%, pro forma effective tax rate of 38%, pro forma diluted earnings per share of approximately a $1.04 to $1.08. We provided guidance on a GAAP basis for the fourth quarter and full year 2015 in our press release and 8-K filed today. Thanks very much. And I’m now going to turn the call over to the operator for the Q&A portion of our call.
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] And we have Vincent Colicchio from Barrington Research online. Please go ahead.
Vincent Colicchio: Yes. Thanks, operator. George, the board business continues to be challenging. What changes - it's tough to follow what changes you're making versus what you said last quarter. I know you were going to add a CIO board and a CMO board. I heard the CIO board. And then, there was some consolidation going on. Could you give us some more complete picture?
George Colony: Yes, I mean you actually heard - what you heard was CMO board.
Vincent Colicchio: Okay.
Michael Doyle: And just to help you there is a CIO and CMO Council FLB which is a pure oriented body, we are now launching what we call executive programs. We actually don’t know the exact name, but we are talking about the executive programs for the CMO which would be more of a - it’s more expensive which we like, but this is an aid who is going to be with you in your staff meetings, channeling the right research and forfeited you with the right time and a coach. That’s number one. Number two on this, is that I think the UBP on the product straight over the last couple of years. And so Cliff is inimitable ways is coming and in a very short time he is going to sharpen exactly why client would be a member of the FLB, what you are going to get for beginning FLB, what the real value is. And I think that can kind of fogged up in the last two years so he is sharpening that one.
George Colony: Mike, I would also say it's not across all FLB councils, what we are seeing is certain councils both on the BT side and M&S side are doing really well. Examples where they are taking it off - taken off. So I think where we see the growth is - the councils being run well, the value propitiation is well understood and we’ve got a great opportunity for clients to network and get the full value of the council and we’ve got to address some of the other councils.
Michael Doyle: I think Cliff, just you know Vince is spending a lot of his time here I think he estimated the board meeting yesterday about 40% of his time will be spend, which make sense the big business for us and needed to get back in track.
Vincent Colicchio: And then, as far as BT RoleView, I think you said that some packaging changes were made. If I'm right on that, is there any early feedback on that? And what changes may be ahead for that area?
George Colony: So the good news there Vincent as we looked at BT RoleView and we looked at the migration of clients that may have been in traditional IT organization. We made a change in our packaging to offer both BT and M&S content in one single research seat for FLB and what we’ve found, we launched that in September and we saw an immediate uptick both in pipelines and bookings in September. We haven't seen a launch like this in a while, it’s been great, salespeople have been very excited about it, the clients are excited about it. The way to sort of position it is that client is now getting the full story, a lot of the BT client that we have wanted access to the M&S content, a lot of the M&S clients really need to understand the BT piece of it. This gives them the full understanding of what they need to do to be successful and while it sold at a premium, we've seen the uptick move incredibly quickly just in one month.
Michael Doyle: I don't want to get to details here, but what was happening is in companies who are moving hard toward the customer. We always see a very strong cooperative approach in the CIO and the CMO and business technology is really happening in a very densely collaborative space between those two different groups of executives. As it turns out a lot of the CIOs are reading what they were most interested and lot of the research we are creating for the CMO and vice versa. BT really is running across the two sets of executive that's what we see is intended to serve.
Vincent Colicchio: Okay. George, you mentioned that you're seeing the longer sales cycles, but seeing better increased client engagement, which sounds positive. Are there any metrics you track internally that tell that story?
Michael Morhardt: Well, Vince I’ll take. This is Mike. We are seeing longer sales cycles, we track our pipelines and so we can see that the deal size both had an opportunity and when we close this are larger they involve more products and services in each one of the proposals that we are generating and we are dealing with a larger number of individuals in anyone deal. That's partially just what is happened in commercial market in general with more individuals getting involved, but it’s partially based on the type of work we are doing. And an example might be a customer experience project. 10 years ago we might have worked with one IT professional or one marketing executive now we’re working with project team from various parts of the business to design a solution and in its - it's taking longer we’re trying to streamline both the products and services that we’re offering so it’s easier to buy.
Michael Morhardt: Vince is that having built the consulting organization we’re getting big deals, we are getting out of the playing field to compete for those deals $500,000, $600,000 deals and it is a level of complexity and it's a level of buying that we just - we have been doing in the past. So it changing how we are actually approaching those types of buyers.
Vincent Colicchio: Okay. I'll go back in the queue. Thanks, guys.
George Colony: Thanks.
Operator: And our next question comes from Tim McHugh from William Blair. Please go ahead.
Unidentified Analyst: Yes, this is [indiscernible] calling in for Tim. Hey guys.
George Colony: Hi, how are doing?
Unidentified Analyst: Good. I heard you talk about some events an AIPAC but did you thought the number for the total number?
Michael Doyle: We have four events in the quarter, which is consistent with what we did last year.
Unidentified Analyst: Okay guys. And I just had a question about here customer experience index I know you talked about it before you maybe talk about how that’s progressing and how you see that coming into shape?
Michael Doyle: Sure, so as we mentioned we had a soft launch for customer experience index in Q4 of last year. We got out of the gate it with not actually having product on the street and we saw great uptick based on the clients we’re looking for they were looking for product like this. Over the course of the year from a product performance perspective we are on track which is great. I think we’re learning some things as we go along we thought that the clients we’re going to buy for one specific reason which was guidance on how they should be improving their customer experience and really in an internal way what we found is - there’s many reasons why clients purchased the index summit is from a benchmarking perspective whether looking to compare themselves to tears. They also do from competitive perspective they want to understand what their weaknesses of their competitors are when it comes to customer experience. So it opened up a lot of doors we’re learning a lot about the sales cycles as well as you would might expect that a decision like this especially might have an impact on the executive team at some of these organizations because some are compensated on the results. And so those sometimes take longer and have more eyes on them but we’re pleased with the progress so far but we are looking to make changes to the CX index as we go into 2016 to make it more interactive with our clients.
George Colony: Yes, what’s doing is getting us to new levels in these companies and I can tell you this is a very financial services company in the U.S. and I was with the executives and I said do you know that you are in the bottom quartile in the CX, in the U.S. in the last two surveys you actually dropped 40% of your customers now consider you to we have a very poor customer experience. And they'll look to me like they were spending tens of millions of dollars in the space and I said will you are not getting the returned from us. So and that's holding us up to new levels in these companies and getting it is - this is going to be absolutely critical to how companies grow revenue we actually proved - but we spent a lot of time researching how high a better customer experience can actually drive revenue faster and we've actually proved that in certain markets. So it's getting us into new spaces that high levels of organizations and I think it’s done exactly wanted to do.
Unidentified Analyst: All right, sounds good. And then if I could just squeeze on last one. So with Cliff’s new role, do you expect any significant changes or initiatives as the results been coming on board and kind of taking on his new role.
George Colony: That’s why he has the new role.
Unidentified Analyst: I guess is there anything that you would want to discuss.
Michael Doyle: At this point no, I would just say that you know the goal and Cliff is well aware of this, because he is very good at this just like he did in research - he will make changes; there is no question about that. And we are going to continue to move the business forward. We don’t hit the pause button. These are things that need to be done in flight. So he did with research and it was very effective to George’s point earlier and we look for the same on product side, I think he is diving in right away and looking to see where we can add value and make changes to get meaningful short-term hits and also more meaningful long-term hits.
George Colony: Cliff is - one he is very, very commercial one and two very fast. And I would say number three, little bit squishy, but he is a very collaborative executive team.
Unidentified Analyst: Great partner.
George Colony: Yes, great partner.
Unidentified Analyst: Okay, thanks, guys.
George Colony: Good, thank you.
Operator: And our next question comes from Bill Sutherland from Emerging Growth. Please go ahead.
William Sutherland: Thanks a lot. Hello, guys.
George Colony: Hey, Bill.
Michael Doyle: Hey, Bill.
William Sutherland: I want to - in the guidance, Mike Doyle, I was kind of curious about, for the quarter, you're FX thinking on revenue.
Michael Doyle: I think from our perspective - our assumption is that essentially, we haven't baked in any material declines or appreciation or any of the currency. So you know if there is some movement and I have seen some forecast that the euro dip again in the fourth quarter. But we don't have that factored in. So we are pretty much are holding the line on currencies at this point, Bill.
William Sutherland: And then I noticed a lower operating margin assumption for the fourth quarter, Mike. I didn't know kind of what the thought process that is there, relative to both the prior quarter and a year ago.
Michael Doyle: It’s a good question, Bill. There is a couple of things going on there. First, we’ve got, we’re making some investment that just support, some things you want to do in sales. And we got other operational investments that we’re putting in there. In addition the fourth quarter is our biggest quarter from bookings standpoint still, so frankly we always hedge a little bit because it can be difficult at times to predict commission expense. I am actually kind of hopeful our expense numbers get blown out because the commissions are huge. But we hedge - a little bit here Bill, and so probably we’re probably a shade conservative on the expense side. But that's by design because it just - it’s the most volatile period we have as a company just because of the size of the bookings that occur in the last three months.
William Sutherland: Sure, makes sense. Michael Morhardt, on the quota-bearing rep additions; well, it was down slightly quarter over quarter, but you're running mid to high single digit head count growth there. And is that kind of where you want it to be? Are you sort of thinking, now that they're more seasoned overall, you're going to be - with the products realigned and so forth - looking for productivity gains to make sure the booking growth is 10% or higher on that rep base?
Michael Morhardt: We are always looking for productivity gains that’s a big piece of it. As we look at headcount growth as we go into the next couple of quarters Bill, one of the things that I think George mentioned and I mentioned we need to take a good hard look at the types of deals in the type of clients that we’re going after and I think we have to be a lot more disciplined and targeted in the types of organizations we have clients that are our ideal client profile they by everything from Forrester and by into the age of the customer and we need to be able to target like clients and prospects in a more sophisticated way and we’re doing that. And what that means is I'm reluctant to make that’s on additional headcount until we know exactly how they are going to pay off. So you may see that the headcount growth slow as we go in ready to ramp it up soon as we know we have it right but want to make sure we’re thoughtful about that and we start to see those productivity gain.
William Sutherland: And remind me on the event business; is that - are the salespeople there dedicated to events?
George Colony: Yes, they are so dedicated sponsorship sales team and dedicated attendee sales team. They do collaborate closely with the research and consulting sales team, but they there is a dedicated team for that.
Michael Doyle: I will take this Georgia the pursuit hard to run events is actually coming out of a sales background. He is a not a constant background he is coming from a commercial sales background.
George Colony: We expect this is a reminder to we hired a new head of sales for events we still in place and that was about 9 or 10 months ago. So season places this is now the person actually run the overall then business for. So they could complement we didn't lose our head of sales she still there and this the run the overall business.
Michael Doyle: We’re going into Q4 we get some of our bigger events and we’ve been seeing some good activity from a sales perspective as far as prospects to see some decent momentum.
William Sutherland: Well, how was - you said sponsorship revenue was down 20% in the third quarter. What was attendance like?
George Colony: I think we are actually feeling a little better about the attendant piece, it’s off a bit, but it's better. I think the problem is we started to struggle last year with attendance in the third and fourth quarter that has the lag effect on sponsor as Michael Doyle having run one of these businesses before so now for us the challenge is building that back and I think that's one of the focuses. So I think that we are kind of targeting to see that build.
Michael Doyle: So sponsorship is down Bill, but seats are not coming backup which is a good sign.
William Sutherland: Right. So, you'll see that business swing next year. I mean you're not counting on the fourth quarter, even though - I forget how many events you have fourth quarter.
Michael Doyle: No, I think the - we are counting on is really the fourth quarter begin to build, right and I think the sales teams have started to come together. I think they stepped up nicely. I think the new head of events is going to help us a lot. And this is a reminder Q3 is a small event quarter, its 400,000 build so the percentages can be a little deceiving. Q4 is little bit bigger, but for us the key is continuing to build the tenants to George’s point that's what excites sponsors and that brings them back in the door. And I think having interviewed and met with this guy that we’re bringing in. I think it bring George’s commercial background and I think. Yes, help us jumpstart I mean he has got a lot of heavy duty.
Michael Morhardt: Yes and just one of the other things that George pointed this group goes up to Cliff previously and now goes up to Cliff again. And in the six to eight weeks Cliff is been an onboard, we are seeing remarkable changes operationally as well as far as just getting the trains to run on time as far as getting our 2016 event calendar out there. There is a number of things that just make an event business and Cliff is already all over those.
George Colony: And the guy was quivering to run the overall business. We are in a business actually larger than our business and he also ran an events business in the media and research space as I said in my remarks.
William Sutherland: It sounds promising. Thanks, guys. I appreciate it.
George Colony: Thanks Bill.
Operator: We have no further questions at this time. I’ll now turn the call over for final comments.
Michael Doyle: Okay. Thanks very much everyone. George and I are going to be on the road, in the fourth quarter we planned to be in New York and in Montréal. In addition we are presenting at the Barclays Conference in December, the Technology Conference. So we are looking forward to seeing as many people as possible during the fourth quarter. So thanks very much.
George Colony: Thank you.